Operator: Good day, ladies and gentlemen, and welcome to the Monolithic Power Systems, Incorporated Q1, 2012 Earnings Conference Call. [Operator Instructions] As a reminder, today’s conference call is being recorded.
 And now, I would like to turn the conference over to your host, Meera Rao. 
Meera Rao: Thank you. Good afternoon, and welcome to the first quarter 2012 Monolithic Power Systems conference call. Michael Hsing, CEO and Founder of MPS, is with me on today’s call.
 In the course of today’s conference call, we will make forward-looking statements and projections that involve risk and uncertainty. These statements will cover a number of areas concerning our business outlook, including: our business and financial outlook for the second quarter of 2012,
 Our expectations for second quarter litigation, stock-based compensation, and GAAP, and non-GAAP operating expenses projected second quarter revenues and gross margins. Our target operating ranges for gross margins and inventory, our expectations for revenue growth and gross margins beyond Q2, 2012, our expected average tax rate for 2012,
 Our belief regarding the outcome of a pending IRS audit, our belief that MPS is well positioned for future growth. The expected seasonality of our business, our expectations for future product cost reductions, and new product introductions, potential customer acceptance of our products and opportunities these present and the prospects of diversification and expanding our market share.
 Forward-looking statements are not historical facts, or guarantees of future performance or events, and are based on current expectations, estimates, beliefs, assumptions, goals, and objectives, and involve significant known and unknown risks, uncertainties, and other factors that may cause actual results to be materially different from the results expressed or implied by these statements.
 Risks, uncertainties, and other factors that could cause actual results to differ are identified in our SEC filings, including, but not limited to our Form 10-K filed on March 12, 2012, which is accessible through our website, www.monolithicpower.com. MPS assumes no obligation to update the information provided on today’s call.
 We will be discussing operating expense, net income, and earnings on both a GAAP and a non-GAAP basis. These non-GAAP financial measures are not prepared in accordance with GAAP, and should not be considered as a substitute for, or superior to, measure the financial performance prepared in accordance with GAAP.
 A table that outlines the reconciliation between the non-GAAP financial measures to GAAP financial measures is included in our earnings release, which we have filed with the SEC. I would refer investors to the Q1, 2011, Q4, 2011 and Q1, 2012 releases. As well as to the reconciling tables, that are posted on our website.
 I’d also like to remind you that today’s conference call is being webcast live over the Internet, and will be available for replay on our website for one year along with the earnings release filed with the SEC earlier today.
 We would like to start this call by reviewing our first quarter highlights. Following this update, we will discuss our operating results. We will conclude by discussing our expectations for the second fiscal quarter of 2012. We will then open up the call to your questions.
 Let’s start with the highlights. MPS had a stellar first quarter with revenues of $50.5 million. This is a record first quarter for MPS. It represents a 6.4% increase from the previous quarter instead of a typical seasonal drop of 5% to 10%.
 MPS saw a strong demand fueled by our new design wins and market share gains in the communications, computing and industrial markets. The engineering and marketing initiatives that we have been executing for over a year continue to pay off and are driving further product innovation and design wins.
 MPS has unique technology capabilities, product innovation and market focus has increased our served available market. Some of the more exciting developments are in the networking server and storage space. For the first time, MPS has been approved by Intel as a qualified vendor for their core power.
 The MPS Intelli-Phase offering for the upcoming VR12.5 [indiscernible] platform is one of the few Monolithic Vcore solutions on the approved vendor list. We provide unmatched performance in efficiency, size and cost. Additionally, this has opened the door to work on future reference designs using other Monolithic high-power density product offerings.
 We introduced our first digital Intelli-Phase in our Digi-Phase family of products targeted at server and networking applications. For the SSD and HDD markets, we are sampling a new generation of DC/DC products based on BCD-3 technology. We improved the product features and efficiencies, while reducing the cost and size. Some of these products have built in features requested by leading storage companies.
 In the Industrial and Automotive market, we have increased our industrial application base to include the solar power market. Our automotive product portfolio has expanded with additional ACQ100 product offerings. We have another white goods design win in Europe. This was due to the low power green energy capability of a high voltage DC/DC product.
 In lighting an AC/DC market, we have scored multiple design wins for our flicker free white LED dimming product and have started ramping production.
 MPS is sampling a new generation of low power AC/DC products called Easy-Power family. These products simplify designs and save space for high volume, low-power applications.
 Finally, in high volume consumer markets, our new generation of DC/DC products the Cool-Power family, continue to gain traction and increased market share in the legacy high-volume BCD Plus market.
 Turning to the financial summary, we have record first quarter revenues, strong turns business boosted net sales to $50.5 million, above the high end of our guidance range. Revenue from industrial markets grew sharply in the first quarter by 37% over the prior quarter and 90% over the same quarter a year ago.
 First quarter gross margin was 52.3% compared to gross margin of 52.5% in the prior quarter and up from 50.2% in the same quarter a year ago. Bottom line, non-GAAP net income was $6.1 million or $0.17 per fully diluted share.
 Moving to the profit and loss statement, in the first quarter of 2012, net sales were $50.5 million. Q1 revenues increased $3 million or 6.4% from the prior quarter and were $6 million or 13.5% higher compared to the first quarter of the prior year.
 Looking at our revenue by end market. Revenues from communications, industrial and computing markets grew both in dollars and as a percentage of total revenue. Sales breakdown as a percentage of total revenues by market was as follows: Communications was 25% of revenues, an increase from 23% and 22% in the fourth quarter and first quarter of 2011.
 Computing represented 19% of revenues, an increase from 18% in the prior quarter and 13% in the first quarter of 2011. Industrial revenues totaled 9% of revenues, an increase from 7% and 6% in the fourth quarter and first quarter of 2011. Consumer sales represented 47% of revenues and decreased from 52% in the prior quarter and 60% in Q1 2011.
 Communication market revenues grew to $12.5 million in the first quarter of 2012 from $11.1 million in the fourth quarter of 2011 and $9.9 million in the same quarter a year ago. Sales to gateway systems drove the increase in the communication market. The largest end markets in the communication space for MPS are gateways, networking, and telecom.
 Computing market revenues were $9.4 million in Q1 2012 increasing from $8.4 million in the prior quarter and $5.6 million in Q1 2011. Strong growth in storage sales contributed to the increase in computing revenue. The largest end markets for MPS in the computing space are storage, notebooks, tablets and printers.
 First quarter industrial and automotive revenues were $4.7 million compared to $3.5 million in the prior quarter and $2.5 million recorded in the first quarter of 2011. Industrial and automotive sales growth was fueled by industrial AMR meters, lighting, security, and automotive applications. The largest end markets in the industrial and automotive space for MPS are meters, automotive, lighting, and security.
 Consumer sales were $23.9 million in the first quarter of 2012 compared to $24.5 million in the fourth quarter and $26.5 million in Q1 2011. The decline was attributed to lower TV sales, however, set top box revenues continue to hold strong and grow. The largest end market for MPS in the consumer space are set top boxes, TVs, monitors, handsets, and other general purpose consumer market.
 Let’s move now to the gross margin line. Our first quarter gross margin was 52.3% compared to gross margin of 52.5% in the prior quarter. The slight gross margin fluctuation is tied to product mix change. First quarter gross margin is up from the 50.2% in the same quarter a year ago, largely due to higher absorption of in-house manufacturing overhead on higher revenues in Q1 2012.
 Let’s review our non-GAAP operating expense. Excluding stock compensation, our non-GAAP operating expenses for the first quarter of 2012 were $20 million, up $500,000 from the $19.5 million we spent in the fourth quarter of 2011. First quarter non-GAAP R&D and SG&A spending increased $1.3 million from the prior quarter, mainly due to higher expenses related to sales and marketing hires, commissions on higher sales and higher audit and tax expenses. This increase was partially offset by about $800,000 lower litigation expenses in the first quarter, which included the benefit from the first payment received of $300,000 under a settlement and license agreement of $2 million.
 Non-GAAP operating expenses for Q1 2012 were up $2.5 million from the $17.5 million we spent in the first quarter of 2011. The increase year-over-year was primarily driven by higher R&D spending in support of new product initiative. Sales and marketing hires, commissions on higher sales, and partially offset by lower litigation expenses. Our non-GAAP operating margin was 12.9% in the first quarter of 2012 compared with 11.6% in the prior quarter and 11% in the first quarter of 2011.
 Moving on to our reported expenses and operating margins. Our GAAP operating expenses were $23.2 million in the first quarter compared to $22.5 million in the prior quarter and $20.4 million in the same quarter a year ago. Since the only difference between non-GAAP operating expenses and GAAP operating expenses for these quarters is stock compensation expense. Let’s look at the stock compensation expense.
 The stock compensation expense was $3.2 million in the first quarter compared to $3 million in the prior quarter and $2.9 million in Q1 2011. Our GAAP operating profit was 6.3% in the first quarter of 2012 compared to our GAAP operating profit of 5.1% in the prior quarter.
 Switching to the bottom line. On a GAAP basis, our Q1 2012 net income was $3 million or $0.08 per fully diluted share. On a non-GAAP basis, our Q1 2012 net income was $6.1 million or $0.17 per fully diluted share. This result is computed with an estimated tax rate of 7.5%. Fully diluted shares increased by 1.3 million shares from the 34.4 million shares in the prior quarter to 35.7 million shares in the first quarter of 2012. The increase in the fully diluted shares was largely driven by the increase in the average quarterly share price from $12.52 in Q4 2011 to $17.53 in Q1 2012. The increase in fully diluted shares was also due to refresh grants awarded in the quarter.
 Now let’s look at the balance sheet. Cash, cash equivalents and investments were $194.6 million at the end of the first quarter 2012, up from $187.9 million at the end of 2011 and $193.3 million we had on the books at the end of the first quarter 2011.
 In Q1, MPS had operating cash flow of about $8.5 million and cash proceeds of $4.1 million from option exercises by employees and employee stock plan purchases. We spent $5.9 million on headquarter building improvement, capital equipment and software in the first quarter.
 Accounts receivable ended the first quarter at $19.9 million compared with $15.1 million at the end of the prior quarter and $17.6 million at the end of the first quarter of 2011. The increase in accounts receivables from Q4 2011 was largely due to the timing of revenues in the 2 quarters.
 Days of sales outstanding were 36 days both in Q1 2012 and Q1 2011, and 29 days in Q4 2011. Our internal inventories at the end of the first quarter were $21.5 million or about 81 days of inventory on a historical basis, which is lower than our inventory model of 100 days to 110 days. This compares with $20.1 million or 81 days of inventory at the end of 2011. Inventory in our distribution channels stayed at about the same level as of prior quarter both in dollars and days and total days of distributor inventory was in the target range of 30 to 45 days.
 Let’s turn to a discussion of general business conditions. Inventory in the channel continues to be lean. Order momentum that started in December continues, design wins and market share gains continue to contribute to revenue growth.
 I would now like to turn to outlook for the second quarter of 2012. Our revenue guidance is in the range of $56 million to $60 million for the second quarter of 2012. We expect gross margin to be in the range of 52.5% to 54%. We expect stock-based compensation expense in the range of $4 million to $4.5 million.
 In 2012, we implemented pay-for-performance equity compensation program for our key employees. As a result, we are required under the accounting rules to access the probability of hitting the performance metrics on a quarterly basis. This will add volatility to stock comp compared to the typical straight line approach associated with time-based grants.
 We expect non-GAAP R&D and SG&A expense to be in the range of $20.5 million to $21.5 million. This estimate excludes the stock compensation estimate mentioned above. We expect litigation expense in the range of $100,000 to $300,000.
 In conclusion, in 2012 we will further expand our technology leadership, expand the product roadmap and gain market share in targeted high-value growth markets. This will set MPS on track for sustainable growth in 2013 and beyond.
 I’ll now open the microphone for questions. 
Operator: [Operator Instructions] Our first question comes from Vernon Essi with Needham & Company. 
Vernon Essi: I was wondering if you could go over your - I guess, for my purposes just your capacity that’s available out there and can you give us a rundown of sort of who you are using to ramp your production and what sort of availability you have, I mean you’re on a nice trajectory here, and I guess also just in line with that, you had given us an update on your BCD, I guess rollouts from BCD-3 or BCD-3 Plus and BCD-4, if you could go over that sort of how that progression is taking place, maybe appreciated. 
Michael Hsing: Okay. We don’t have a capacity now and we disclosed the last earnings call we added another foundry with a much more advanced equipment. And with the BCD-3 product we strengthened, I’ve always said, we strengthened it by a huge amount, more than 30%, 40% of die size. Our - even our existing foundries we couldn’t fill it up, because number of the wafer dramatically reduced. So we don’t have any capacity constraint. And audio represents the technology for BCD-3 product, the third generation is now in a converting phase and BCD-4, the fourth generation we are trying to release at the end of the year. 
Vernon Essi: So you’re still qualifying BCD-3, 4 - I’m sorry, BCD-4 with your customers, you’re in-production ops in BCD-3 and I realize that of course your die size is smaller, but I guess my question is the technology you’d brought in another foundry partner, I remember that, and what I guess I’m asking is how is the capacity with that partner and do you feel that equates to… 
Michael Hsing: That will add another more than $100 million. 
Meera Rao: Yes, so we have more than enough capacity for the foreseeable future. 
Vernon Essi: Okay, I’ll move on, then congrats on the Vcore situation on the grandly[ph], and I just - obviously you had talked about this a long time ago and now that you’re in a reference design scenario, can you give us an understanding on how that revenue would ramp and sort of when you would start to see the first opportunity to recognize revenue on that? 
Michael Hsing: This is very - we disclosed that information on the - on grandly because this is a milestone for MPS. And MPS is always in the analog side, we don’t have a digital, now we have a digital capability and it took MPS more than a year or 2 to do that and that’s a milestone. In terms of our revenue, this is - grandly is really a 2014 volume. So now, we are engaged with our customers and therefore designing process now. 
Vernon Essi: Okay. And then my final question, if you could explain on the consumer side, you have sort of migrated away from that and you still had a very strong quarter in consumer especially on a sequential basis relative to your peers. Can you discuss - you put a lot of things in that bucket there and even some handset revenue, can you discuss sort of what seems to be the strongest driver in that bucket and why it’s not seeing a seasonally slower downtick? 
Meera Rao: We had told you last quarter that we had got -- gained a lot of market share in set-top boxes, so we saw stronger revenues from set-top box in the quarter and we also saw a stronger demand from a whole lot of general purpose consumer products. And I think a lot of it is the new design wins and some of the market share that we have been gaining in this market. 
Vernon Essi: Okay. And so if we go through the rest of 2012, especially as you get into the back half of the year, you obviously would expect consumer to tick up as a percentage of your revenue going into the back half of the year, in other words it would certainly be well north of 50%, perhaps approaching 50% again as you exit the year, is that a fair statement? 
Michael Hsing: We expect to have a percentage, we expect to remain the same level of slightly lower in other market segments picking up, but the revenue dollar, it will be - will have a modest growth in consumer area. 
Operator: Our next question in queue comes from Ross Seymore with Deutsche Bank. 
Ross Seymore: On the gross margin line, given just a stereotypical assumption on mix and what would be good and bad for your gross margin, I’m a little surprised at where the growth came from that the gross margin actually was down a little bit sequentially, can you just clarify to us how we should think about mix, whether it’s by new products or by end markets? 
Meera Rao: In the second quarter? 
Ross Seymore: In the first quarter. 
Meera Rao: Okay. Our first quarter mix - product mix came in lower, it’s a combination of products and customers and it’s largely because of consumer and a little bit of the low end computing as well. 
Ross Seymore: But going forward… 
Meera Rao: Pardon. 
Ross Seymore: Go-ahead, ma'am. 
Meera Rao: By low end computing, I ‘m talking about laptops, notebooks et cetera. 
Ross Seymore: So if we think going forward, as Michael just answered to the previous question about consumer as a percentage of the mix, if Thompson Industrial become a bigger part of the mix, I assume those are the richest gross margin area much like your peers, is that how the mix related dynamic works in your business model as well? 
Michael Hsing: Yes and that’s the truth. But the industrial revenues and the contribution of the gross margin from industrial is rather small for MPS at this time because the overall industrial revenue is not as big and more in communications and a computing from a - especially from a new generation product for the computing area. 
Ross Seymore: And I guess is a - it’s a follow-up on the gross margin line, as well as - if I remember correctly you had underutilization charges and so you got upwards to the $60 million or $61 million in revenue away from the mix side of things just from a fixed-cost coverage perspective. Can you just walk us through in fact still the bogie on where those underutilization charges disappear and if so how should we judge the magnitude of what they were in the first quarter and how do they go down going forward as you grow? 
Meera Rao: As we explained before, there was a 300 basis gross margin hit that we took back in Q4 2010. And so as we grow that we get some of that back or we get some of the gross margin improvement out of it. But one of the things to keep in mind is we'll always be balancing revenue growth with gross margin growth. 
Michael Hsing: To answer your point it’s due to do same formula. We view the capacity around $70 million so it’s still running at the $50 million range, so it still have a lot of room which we include. 
Ross Seymore: Great. And I guess this is the last question a little bit more housekeeping. What tax rate should we think about for the rest of this year? 
Meera Rao: I would say between 5% and 10%. 
Operator: Our next question comes from Patrick Wang with Evercore Partners. 
Patrick Wang: I know you’ll recently talked about this that your sales guidance was very strong, can you give us a sense of how your booking trends were, perhaps I guess a linearity or shape over the quarter, I know you said that it was strong throughout the quarter, but could you give a little more color there? And then also you entered last quarter with a lot of backlog coverage. If you could also give us a ballpark on how much you’ve got heading into Q2? 
Meera Rao: Last quarter was an exception, it’s typically a down quarter and we were projecting revenues to be flat to up and so as an exception, we shared the bookings number. For this quarter, I’ll just say that we entered the quarter with good bookings and we are comfortable with the quarter guidance. 
Patrick Wang: Okay. So I mean should we think about that as - looking as more of a typical quarter that we see in the past with MPS? 
Michael Hsing: It is a typical quarter, yes. 
Patrick Wang: Typical quarter, okay got it. Great. And then also I want to follow-up Ross’ question on gross margin. When we think about margins over the course of the year, just the way that you guys have guided revenues for the second quarter and it almost feels like we should really sort of approaching something in the 60s and the back half for the year. And if we do that what’s the best way to think about the margin progression over time. And I guess you know it’s just when we take into account the underutilization surcharges and I guess may be for 6 quarters ago you guys got hit on higher wafer costs as well? 
Michael Hsing: Well, as I said earlier than the consumer - the percentage of a consumer product will go low. And that overall dollar will still go up. So overall margin as the revenue grow it should go up slightly. Although, we don’t want to emphasize the margin only. We want to have a balanced growth between the growth margin and also the revenue growth. 
Patrick Wang: Okay. So is it fair to think about as we approach 55% margins, is that - do you want investors to think about that or is it more kind of 53% to 55% is a healthy range and looking to maximize top line growth? 
Michael Hsing: Yes. We - our current models do have 50% and a 55%. So we’re so in the middle now and as the revenue grow in the euro expected, we will go even higher. But we - at this time, we are not changing our model. 
Patrick Wang: Okay. Great. And then also we’ve been pretty excited about an opportunity with MPS ramping at a big comp equipment supplier out there. I’m just curious if you can give us an update on some of the key milestones, the sampling that the power module and if any of that is actually baked into your Q2 guidance? 
Michael Hsing: No, the modules and we are actively engaged with our customers. So we have a conference call with them every week and for the progress of the project and we don’t expect any revenue in the second quarter and/or even third quarters. 
Operator: Our next question comes from Steve Smigie with Raymond James. 
J. Steven Smigie: Just a follow-up a little bit more, you guys had a very strong result here on the first quarter and a very good guidance. How can we think about seasonality this year given that typically Q3 would be very strong from you? So first while you’re moving more towards networking business and other area is industrial that you probably means you will have less of that seasonality going forward, plus you've had 2 above expectation quarters. So how should we think about that seasonality this year and next year we have more of that mix in your business. 
Michael Hsing: That’s a good question and we try to figure out what is seasonality and also relating to next couple of years - financials and the unstable market with our new business. And we really can’t tell in the - that the close to 50% our business still in a consumer side. So I would still expect to have a very - a similar trend, but not as much - now - we don’t have a typical pattern anymore. 
J. Steven Smigie: Okay. So probably wouldn’t be fair to sort of model a big drop down in Q4 and then even bigger drop down Q1 anymore should obviously would that out that fixed? 
Michael Hsing: Well, we never had a Q4. We have our Q3, we have always have a big Q3 and a Q4 slightly down, even or slightly down and I don’t see and really depend on [indiscernible] market and also the computing market and what Q3 will be and we are still contemplating, but at this time too far away to say it. But overall I expected the things that new product designing activity happened in the last year and I expect the revenue continue to grow. 
J. Steven Smigie: Okay. Within the operating expenses, can you give some color on what the mix would be as a percentage wise, dollar wise, SG&A versus R&D and talk a little bit about R&D spend over the rest of the year. Is it certain dollar amount you guys are looking to spend for the year? That's the question. 
Meera Rao: Sure. In terms of the OpEx, R&D we’ve got all the headcount on board. So any increase would be associated with new product releases, math sets and development wafer large things like that. With regard to sales and marketing, we just hired a new sales and marketing executive and we’ll be adding a few more as we find them. So, I would expect salaries to increase a little bit and then we would also have variations, I would say sales commissions could go up and down along with revenues. 
J. Steven Smigie: Okay. So I should think that you probably see much faster ramp in SG&A going forward and then R&D dollars just really have to spend in place the dollars probably will ramp that significantly. 
Meera Rao: Yes. And even SG&A, the ramp is not going to be that significant but there will be an increase. 
J. Steven Smigie: Okay. And last question, with regard to the new products coming out, can you help us think about how we should be looking at ASP and units. Feels like the ASPs got to be going up a lot, does that mean units go down quite a bit as well because again you are moving away from those higher volume markets? 
Michael Hsing: That’s true. We have all the computing product and those are the new generation with computing product called out high ASP and also for storage and the new generation where products like SSD and HDD are higher price, will have - those products have a higher content. 
Operator: The next question comes from Rick Schafer with Oppenheimer. 
Shawn Simmons: This is Shawn Simmons calling in for Rick. Congrats on the good quarter and guide. I have just a couple of questions, quick on your set top box business, can you guys just talk about where you are taking share just geographically? 
Michael Hsing: I think all over the place in Europe, U.S., Asia. 
Shawn Simmons: Okay, great. And then, can you give us an update on your past auto design wins? I know you guys got pretty good traction in Europe and then one design win in Asia last quarter, did you pick up any incremental share there or do you have any further color on that? 
Michael Hsing: Yes, we do have some design wins in the U.S. mall - in the U.S. market although we are not really qualified for big 3 automakers, but we design it in those component makers. 
Shawn Simmons: Okay. And then I guess just one last question for me. I guess, what do you expect to do with internal inventories? Do you guys expect to take them up here quarter-on-quarter as you built for a seasonally kind of stronger second half? 
Meera Rao: Yes, we expect to increase in-house inventory levels. It will be getting closer to our in-house inventory models that’s may be goes slightly short of that. 
Operator: [Operator Instructions] Our next question comes from Tore Svanberg with Stifel, Nicolaus. 
Tore Svanberg: A few questions, first of all, you had converted to BCD-3, what is the percentage now and where would you expect that to be by the end of the year? 
Michael Hsing: BCD-3 and currently we are converting all the product based on the BCD Plus, BCD-2. 
Meera Rao: Plus to BCD-3. 
Michael Hsing: To BCD-3 and BCD-4, the fourth generation we’re planning to release in production at the end of this year. 
Tore Svanberg: Okay. And I guess you have a --the reason I'm asking the percentage question is because that I’m trying to understand the impact on gross margins. So at the end of the year, would you have a pretty high percentage in BCD-3? 
Michael Hsing: That’s correct. 
Tore Svanberg: Okay. Very good. And you talked about the grant in the design win then I understand you’re not going to get much revenues until 2014, but when would be the release you could potentially announce a design win there? 
Michael Hsing: Yep. You’re talking about BCD-3. 
Tore Svanberg: No, no. Now, I’m talking about the Vcore design win for grandly. 
Michael Hsing: These are - yes, we do have - we can’t call a design win because the production day is a little further away. And but certainly many leading manufacturer needing supply from the - in the server market, they’re very interested in MPS solutions. 
Tore Svanberg: Very good. 
Meera Rao: In fact, right after Intel sent out the approved vendor list, we got a lot of request from customers asking for samples and boards. 
Tore Svanberg: Very good. You guided legal to be - legal expenses to be $100,000 to $300,000, is that sort of the new run rate now going forward? 
Meera Rao: For the rest of this year, we kind of expect it to be at that rate. 
Tore Svanberg: Okay, very good. And you had a little bit of a step up in CapEx. Is that it for now and now we’re going to be go back to sort of $2 million, $3 million? 
Meera Rao: Yes. I think we’ll see another quarter with CapEx will be up and then they will be back to the usual levels. 
Tore Svanberg: Okay. And when we talk about communications, I think you mentioned telecom as a narrow that’s big for you guys. I didn’t think that was a pretty material business for you. I mean I should still think that in comp it’s primarily networking right? 
Meera Rao: Networking is the bigger champion. Yes. 
Operator: I’m showing the next question in queue is a follow-up from Vernon Essi with Needham & Company. 
Vernon Essi: Thank you very much. And I apologize if you had already addressed this, but what is the update on your outlook for the LED lighting market and sort of how you guys progressing and I guess give us the landscape of where you’re seeing the most traction right now? 
Michael Hsing: Well, we have a - we had a product that it have with a little problem, where I mean and we corrected that and so we got a design win now, we got a design win, we got a multiples which called a multiple design, design wins after we release this product in early - just at the end of the last year. And so we will have an enough - a meaningful revenues from LED lighting in this year. 
Vernon Essi: Okay. And so should we’ll be looking at I mean you’ve historically broken out this revenue with lighting controls and some of that’s probably, we spoke of that could still be sort of in the computing area, correct? 
Meera Rao: Actually, if we have continued to breakout the revenues by product type as well as DC/DC and wireless, but what you see is lighting control revenues includes both LED lighting, as well as backlighting revenues. 
Vernon Essi: Okay. But I mean is it fair to say when we look at that $6 million number for the first quarter, is that - like what would be the split of that between monitor based revenue versus general lighting? 
Meera Rao: The majority of that would be… 
Michael Hsing: Monitor business is about a round of portfolio of $5 million to $6 million right. 
Meera Rao: Yes. 
Michael Hsing: Yes. So and this year, the Monitor business is still - will be very strong as we’ll release a new product for that market. And we also see the lighting business will grow too. 
Vernon Essi: Great. So let me just back up. You’re expecting the growth you will see in 2012 would be contingent upon your success in the general lighting market, I mean is it a monitor market or the computing market expected to grow at all for you or is it sort of flattish? 
Michael Hsing: Yes. Those are well growth. 
Meera Rao: So we are focusing on growth from the lighting market. 
Operator: Thank you. And I show the next question is follow-up Steve Smigie from Raymond James. 
J. Steven Smigie: So it seems overall that the not specific view, but the TV end market overall seems to be maybe finally getting a little bit better. Do you still have product there that could grow and any chance that some of the big guys over in Korea would be talking to you about, again about any products you have out there? 
Michael Hsing: Well, we did that in the 2010. We did a lot revenues and I mean in a TV mark - 2011 loss a lot of revenue then in a market - in the Korean TV market. And now the overall TV market we - I think it’s 2010, and our revenue is only - is about a 30% and in terms of overall market we’re still a small, it’s not a dominate player like 20%, 30% of our total market share. So without the Korean - major Korean TV makers and so our percentage is a much smaller now and with [indiscernible] and with the crew product we released we’ve released in last year and we expect to gain some shares and although and that’s not our focus. 
J. Steven Smigie: Okay. And I’m sorry if I missed this somewhere, but you appreciate you guys giving the end market breakout very helpful. I think when you gave us Q1 I think you gave comparisons for Q4 and Q1 a year ago. If you have guys could put on the website Q3 and Q2 if it’s not familiar in the press release that I missed it. 
Meera Rao: I can give you the Q4 and the Q1. Again we already gave Q1 2011. I can give you an approximation of the Q4 2011 if that would be helpful. 
J. Steven Smigie: Sure. I think you gave Q4 2011. I could be wrong 
Meera Rao: I’ll just - I gave it in the script, but let me just walk through it one more time. Communication is about 23%, computing about 18%, consumer was 52%, industrial is about 7%. 
J. Steven Smigie: Right I appreciate, I just take there is point for Q2 and Q3 and it’s only if important that you send that information out. 
Meera Rao: Sure, Q2 communications was 24% in Q2, 23% in Q3, computing was about 14% in Q2 and 17% in Q3. Consumer is about 57% in Q2 and 53% in Q3. Industrial is about 6% in Q2, and about 8% in Q3. 
Operator: I’m showing no other questions at this time. I’d like to turn the program back to management for any concluding remarks. 
Meera Rao: Thank you for joining us on this call. Look forward to talking to you again next quarter. Bye-bye. 
Operator: Ladies and gentlemen, thank you for joining today’s conference. This does conclude the program and you may now disconnect.